Paul Meade: Good morning, everybody. I would like just to highlight today that we have on Page 2, a forward-looking statement that highlights some certain risks and uncertainties that impacts our business. These risks and uncertainties are relevant to today's discussions, especially in relating to forward-looking statements. I would now hand over to Urs Jordi for the presentation.
Urs Jordi: Thank you, Paul. Good morning all. Welcome to our Full Year 2025 Results Call this Monday. We will start on Page 4 of the presentation. As you can see, a revenue of EUR 2.223 billion being achieved in the year 2025. And with this, an organic growth of 1.5%, supported by volume and by price. An EBITDA of EUR 306.9 million we have in our books and with this a free cash flow of EUR 120 million. Based on this, on this solid performance and the strong cash flow, we decided to repurchase the remaining hybrid bond, the outstanding Swiss franc bond on the amount of CHF 144.3 million by end of April this year. On the next page then, you can see that we did complete our customer negotiations, year-end '25, beginning '26. We maintain a strong share of innovation, 19% of revenue. New capacity is ramping up in Switzerland, as you know, a new line for gipfelis and pastry. The first investment goes operational soon as we are speaking now and in the next 2, 3 weeks. And investment in Portugal, the burger bun factory is confirmed and the planning, execution starts. There's a new investment planned in Poland. Planning is continuing. And as you know from our last calls, business cost optimization is accelerating. On the next page then about the organization of the company, the Board, the management, the dual mandate, the Chairman and the interim role will end at AGM 2027. The Board will propose for then -- for this AGM 2027, a new Chairman. I will remain CEO of the company and Board member of the company. A Board refreshment is as well proposed for this year's AGM 2026. We proposed Heike Sengstschmid to join the Board. Helene Weber-Dubi decided not going for the next round after being more than 5 years with us. We did as well decide to relocate the head office from Schlieren to Zug. This is subject to the AGM approval from April. The guidance then for the coming year on the next page. We confirm to deliver our midterm plan as disclosed, we will achieve a low to mid-single-digit organic growth. We will continue with our EBITDA and EBIT improvement activities. We will remain on a strong cash flow generation for the business and the Board will publish a capital return policy 2026. This is a remarkable point, first time in ARYZTA's existence since many years, the company is in the situation to debate and to propose a capital return plan for shareholders. On next page, then you can see the midterm targets. You know then about EBITDA margin, EBIT margin, 15% or more, 9% or more. CapEx amounts to 3.5% to 4.5% of revenue as we had in the past. Total net debt leverage from 1.5 to 2x is a target level we will achieve. All of this supported by a strong cash generation and improvement on ROIC and on earnings per share. We would go now to the financial review and I would ask Martin to guide us through, please.
Martin Huber: Thank you, Urs. Good morning. We are pleased to share with you the details of the resilient results we achieved in 2025. ARYZTA has delivered on the updated guidance after the executive leadership change in October 2025. We achieved revenues of EUR 2,223.3 billion, corresponding to an organic growth of 1.5% with contribution from both volume mix and pricing. Our EBITDA of EUR 306.9 million is above the guidance. The corresponding margin of 13.8% demonstrates our ability to deliver robust results despite the context. Free cash flow of EUR 120 million, representing a cash conversion of almost 40% of EBITDA confirms the cash generation strength of ARYZTA's business model. Despite lower operating results, the disciplined management of our invested capital protected ROIC. The 12.1% is well above the group's weighted average cost of capital, delivering value creation for the shareholders. Next slide. In a challenging consumer end market environment, ARYZTA delivered an organic growth of 1.5%, supported by volume mix growth of 0.5% and a resilient pricing of 1%. Foodservice and QSR contributed with solid growth levels, while retail was flat. Important to highlight that pricing was strongly supported by our foodservice business, while QSR was a key contributor to volume growth. Retail delivered a contrasting picture with some businesses delivering substantial volume mix growth compensating others. Innovation with a revenue share of 19% was organic growth accretive. Next slide. Europe achieved an organic growth of 1.3% with positive volume mix and pricing. Contribution to pricing was stable across the year. The growth in Europe was broad-based with good contribution from Ireland, France, Germany and Poland as well as our European bun cluster. Good performance in foodservice driven by pricing and, to a lesser extent, volume as well as solid volume progress in QSR. Retail had a generally more challenging performance in both pricing and volume. Innovation share of revenue reached 19%, underscoring our category leadership. While EBITDA margin of 12.9% was below last year and further decreased compared to H1 2025, we have been able to significantly recover profitability in the last quarter. The reset triggered by the leadership change supported this acceleration of margin recovery in the last quarter with the several cost optimization initiatives we have put in place. Next slide. Rest of World delivered strong results with an organic growth of 2.9% and a EBITDA margin improvement of 110 basis points to 20.9%. Key contributors to this achievement are a mid-single-digit organic growth in QSR with important contribution from volume and mix. The continued QSR recovery also resulted in improved profitability. The other segments of Rest of World achieved largely flat organic growth, however, added with important margin progression to the results of the region. We expect the QSR to further progress. The new factory in Perth will be commissioned at the end of the first quarter this year and will support this trend. Next slide. We delivered an EBITDA of EUR 306.9 million, which was above the October guidance. The resulting margin of 13.8% is 80 basis points behind previous year but largely stable versus our H1 result. Input cost inflation, particularly related to labor cost as well as some commodities like butter, protein and chocolate have impacted gross margin by 290 basis points. FX and other elements had a negative impact of 50 basis points. This was partially offset by pricing as well as procurement and Simplex cost optimizations, which have benefited gross margin by about 190 basis points. The increasing share on revenue of margin-accretive innovation has also helped to mitigate the effect -- the negative effect the input costs have. Distribution costs and SG&A have contributed 60 basis points to the result through disciplined cost management, efficiency gains from the shared service center and procurement savings on the newly onboarded indirect categories. We have delivered these robust EBITDA levels and have continued investing in our strategic efficiency initiatives to ensure our business model and setup is future fit. Next slide. During the Capital Market Day last year, we committed as part of our 2025 to '28 midterm plan to deliver EUR 20 million to EUR 30 million net savings. Operations, procurement and structure cost improvement will contribute EUR 40 million to EUR 60 million savings, of which we will use EUR 20 million to EUR 30 million to invest in improved digital maturity and AI. Over the last couple of months, we have further evolved and refined our savings and IT investment road map and incorporated them under the umbrella of the ARYZTA Continuous Excellence program. The focus will be on operations as well as commercial. We will drive efficiency in manufacturing through initiatives such as center lining, waste management and changeover cleaning optimization as well as accelerating the rollout of bakery best practices to our factories. In logistics, our focus is on driving the efficiencies of our distribution platforms and our direct store delivery setups. In sales and marketing, we have launched a set of measures to accelerate customer and channel contribution. The excellence program is complemented with transversal initiatives, addressing the structural costs by aligning our organizational models, implementing a standardized integrated business planning process and further extending the reach of our above-market procurement organization. The investments into our digitalization road map will evolve the IT and OT capability of the group and will ensure that the benefits of the excellence program are sustainable. On the next slide, I'll share a couple of early examples of this acceleration of our excellence program, which we have intensified over the last quarter of the year. In operations, we have run a manufacturing optimization pilot project in our Swiss bakery in Dagmersellen and identified material cost reduction potential. The realization of these saving potentials has already started. We will roll out this program further. Germany will be the next manufacturing hub, which we target. Through the alignment of our organizational model, we have identified across the group circa EUR 10 million of gross annual structural cost reduction through the alignment to our predefined organizational models. The implementation of these actions has started and will show its full effect in 2027 as we will have some one-off restructuring costs in 2026. Our business service center now drives major process redesign and technology rollouts across 60% of our revenue, enhancing controls, efficiencies and scalabilities and with that, positions ARYZTA for sustained profitable growth. In terms of our digitization road map, we continue strengthening our digital core by unifying the ERP and business application landscape, tighter data governance and deeper end-to-end system integration. This is reducing manual work, moving supply chain or improving supply chain visibility and enabling faster AI-supported insights. Next slide. ARYZTA delivered EUR 120 million in free cash flow. Continued strong focus on working capital management, disciplined management of CapEx, which only increased by about EUR 4 million versus previous year and the reduction of total financing costs supported by the hybrid buyback program and increased efficiency in cash management were the key drivers of this result. Next slide. Our continuous focus on working capital management allowed us to further reduce trade net working capital as a percentage of revenue to 0.2% compared to the 0.7% at the end of 2024. Management of inventory was one of the contributors to the positive evolution as well as continued disciplined collection management. Next slide. We made good progress in strengthening our balance sheet. The solid cash flow supported by the hybrid buyback program and the further improved working capital efficiency allowed us to reduce the leverage to 2.6x. We are fully on track to deliver the targeted levels of our current midterm plan. In addition, our core equity is progressing as planned and represents already 21.1% of the total balance sheet assets. As announced today, we will repurchase the last remaining hybrid on its next interest payment date at the end of April and repay the outstanding principal of CHF 144.3 million. With this, we will successfully conclude our hybrid buyback program and further progress towards a normalized financing structure. Next slide. Our disciplined and consistent management of financing has delivered strong results. Total financing costs, including hybrid dividends and lease interest amounts to EUR 41.6 million. This is over EUR 4 million better than the lower end of the guidance range for 2025. The hybrid buyback strategy contributed almost EUR 23 million to the reduction of the financing cost and was only partially compensated by higher bank financing interest. Our interest exposure hedging strategy has paid off. Currently, around 37% of our total exposure is covered. For 2026, we expect that our total financing costs remain stable at EUR 40 million to EUR 43 million. Next slide. Return on invested capital is at robust levels with 12.1%. The lower operating profit is impacting the 2025 results. Our invested capital remained, however, stable compared to previous year. Disciplined management of CapEx and working capital have contributed to this. The 2025 result of 12.1% is well ahead the group's weighted average cost of capital of 8%, creating value for our shareholders. The earnings per share increased by 5.7% to EUR 4.25. The positive contribution from our disciplined financing strategy more than outweighed the impact from lower operating results. The tax charge, as you can see on the slide, was largely stable. Concluding now, we have delivered a robust set of figures in a complex and volatile context. The measures we have taken in Q4 to reposition the company and correct the course towards the midterm planned flight path are delivering results. We have refocused the commercial organization and expect to deliver an organic growth in the low to mid-single-digit range. Our negotiations with customer are mostly concluded and pricing is expected to be largely flat for the year. We are focusing the organization on operating profit and expect to return the EBIT margin towards the flight path of our 2028 targets. Certainly, our cost discipline measures structured within the excellence program will support this. We expect to sustain strong free cash flow generation for the current year. And end of April '26, we will repay the remaining principal of the last outstanding hybrid bond and further normalize our financing structure. And last but not least, we have validated our SBTi targets and are making good progress in our ESG journey. Thank you and I hand back to Urs.
Urs Jordi: Thank you, Martin, for these financial results. We would go now to the Q&A session.
Operator: [Operator Instructions] The first question comes from the line of Jorn Iffert from UBS.
Joern Iffert: It would be 3 quick ones, please. And the first one is on the incremental cost saving program you've announced. Can you give us a little more granularity what to expect net on the EBITDA bridge? And also what's the extent full-time employees to be reduced? Is it going down 1% or 2% or even a little bit more? Just a little bit more clarity here. Second question, if you allow me, why was retail only flat more or less on revenue growth? Isn't there a trend that smaller artisan bakers are disappearing and people going more towards retail? So would this imply that underlying consumption of bakery is not really great in the current environment? And the third question is, please, do you expect a back-end loaded year? Or is H1 already showing us some progress on organic sales and also margins?
Urs Jordi: Thank you, Jorn. I will start with the cost saving and the retail business then and would then hand over to Martin about the H1 and H2 balancing. This -- the cost saving programs, this Agility to Win and the excellence program, the short to midterm program are in work in progress and in the rollout. So there will be significant savings in the entire supply chain. The numbers for this, we are elaborating. There is already a part of the savings in the budget. We will know and see what the total number is but there is a component as well on the FTEs and you will understand that we will not communicate these numbers. This is always a bit difficult as well. So we are in process to finish this program in Switzerland. The next approach we will take in Germany. This is work in preparation and will start within the next 2 to 3 weeks. So this is the status. We will again see a significant saving in this numbers. We will not communicate this. You will see this in our results. Retail for the last 12 months was okay. It was a bit up and down but the consumption in retail is solid. The bake-off part in retail is a growing and outgrowing part. There is a bit an impact on promotion or on shifts in the portfolio. But basically, retail remains strong. There is, as you know, a pricing initiative from retail, which is good and bad. The good thing for us is that we are efficient and being able to address this. So we clearly count as well for this year for a solid and slightly growing retail volume. On the other hand side, this is the other side of the coin, quick serve restaurant and foodservice did good in the last 12 months. So this is the nice balancing of our business model. We are in quick serve restaurant, retail and foodservice. So if somewhere is a low-ish trend visible, we can offset this with the other 2 channels we are in. Martin, H1 and H2?
Martin Huber: As we have guided for the full year, maybe let me start with the Q4 reset that we have done. So we have taken there clear and strong actions. We have refocused the commercial organization that I have mentioned. We have accelerated the savings and cost optimization programs, structured that, as I presented, under the excellence program and are making good progress. So I would really focus that we are guiding for the full year, low to mid-single-digit organic growth. We are, with all these measures that we have taken, returning towards the flight path of the midterm plan and progress on margins. In terms of cash flow, we have some cash expenses at the beginning of this year for the conclusion of the factory in Perth and the installation of an important cooling system in one of our factories in Europe. And this is impacting our cash flow. So the cash flow as it was in '25 will also be in '26, more H2 driven and probably be at similar levels in H1 as we had last year.
Joern Iffert: If you allow me one quick follow-up to the first question. Can you just give us an indication what are the restructuring costs you will book in EBITDA in 2026?
Martin Huber: Look, what I -- I think I leave it as I mentioned it in the call, we have -- we expect to get annualized savings of these measures of about EUR 10 million. The full impact of this is being impacting positively our results in 2027 as we will incur restructuring expenses in the course of 2026. Overall, we have said that the total contribution from these programs that are now, let's say, under the umbrella of excellence will be EUR 20 million to EUR 30 million net savings over the period of the midterm plan.
Operator: [Operator Instructions] The next question comes from the line of Jon Cox from Kepler Cheuvreux.
Jon Cox: Congratulations on the free cash flow and the recurring EPS. Just on the free cash flow, you've obviously brought down that trade working capital down to a pretty low level. Can you keep going there? What I'm trying to get to is where the free cash flow could come in this year? Is there a chance actually comes down from what we had in 2025 if you get -- maybe you've already exhausted where you can go on that trade working capital. That's the first question but it's sort of linked as well to this whole capital allocation. And I think I'm not alone. I think some of us were hoping you would come out with a capital allocation policy today given that the balance sheet has now pretty much normalized and obviously, the last -- the final bit will be the hybrid. You talk about this 1.5 to 2x. You've talked about an equity ratio, which is not in the slide. So I guess that's up for a discussion. But I'm wondering why you can't, at this stage, even commit to a dividend in 2027. Is it because you really want to get down below this 2x level before you start paying a dividend? So that's sort of like a free cash flow capital allocation question. The second question is just on top line. And I'm just wondering, do you think there's anything structural going on in the market? We're hearing a lot about bakery being under pressure in North America with the potential to shift to higher protein diets, GLP-1s, all of this type of stuff. Given the reset, given what you're seeing in retail sales of bakery at the moment, I wonder if there's any thoughts on that. I know you're quite passionate about bread and what it can give you in terms of calories and it's very efficient, et cetera. And then just a couple of nuts and bolts questions. Just on the effective tax rate for this year, again, you look lower in 2025 than some of us expecting. Where you think the effective tax rate will be? And then also, did you mention that there will be a restructuring charge because I know normally, you guys are very good and including that in your EBITDA? Or are you now talking about a change in policy there you'll actually start to split that restructuring charge out?
Urs Jordi: Thank you, Jon. I would answer the trend at the market first, giving Martin time to prepare the answers. So you remember Atkins diet, what was it 25 years ago. And then the next one and the next one, same time, the carbohydrate consumption remains stable. In our part of the world, somewhere between 70 and 75 kilogram a year. In Asia, it's even ramping up. At the beginning of our business, this was not even measured. And today, in the markets we are, this consumption is somewhere around 20, 25 kilogram. So there might be impacts and appearances affecting the consumption maybe for a certain period of time or in regions or whatever it is. Overall, we are absolutely convinced that we are in a very good business in a very efficient and effective calorie. The cost of living crisis, let me say it like this, is a good helper for carbohydrate calorie. And the way I did mention at the beginning, we are in -- we have a good channel mix with quick serve restaurants, food service and retail. So we do not see any significant change in the trend. Martin?
Martin Huber: On the free cash flow, you have seen there, we have improved our free cash flow, thanks to the support of working capital management, which we have consistently worked on over the last couple of years. When we compare H1 versus H2, we have been able to reduce our cash conversion cycle by almost 10 days. A big part of that is coming from inventory management. And to your question, are we able to sustain continuous improvement? I'm not -- I'm clear we have reached competitive levels. That doesn't mean we cannot further improve. I've mentioned under the excellence program, we have a transversal initiative, which is the implementation of a standardized integrated business planning process. We expect from this improved process quality, a further improvement on our overall inventory management. So the steps are getting a bit tougher but I do expect further improvement of our overall working capital and hence, contribution to our free cash flow. For the -- for 2026, I would expect continued strong cash flow generation and I would not expect a change of the deliveries that we have been able to bring forward. When it comes to capital allocation, I think we have been very clear that we will come forward with a communication of a capital allocation strategy, which the Board will issue in the course of this year. We have a clear pathway to that. The first step is the hybrid buyback that we just announced and we will execute at the end of April. We have also indicated that we will further improve our balance sheet structure. We'll be working on -- or continuously working on cash generation, which will help us to do so. At the same time, we will diligently work on improving our credit ratings. That's the next step, which allows us to further diversify our balance sheet structure. And we have given a target of around 30% core equity ratio. We are already, as I indicated in the call, at 21.1%. We have increased this from 15.6% in '24 and we have almost doubled it if I compare to 2023. So we expect this to progress and at the end of '26 to be closer to the 30% than to the 25%. So in that sense, I think we have the pathway set up and you can expect in the course of this year, a communication on this capital allocation and the distribution of capital to the shareholders, be it through dividend or be it through share buybacks. The Board will issue that communication. In terms of the effective tax rate that you have asked, we are about at the same level as we have been last year. And on the long run, we indicated that we will be in the mid-20s when all, let's say, the losses that we have in the different jurisdictions are consumed. That is the tax rate that you can expect over the long run. Currently, our effective tax rate for the year is at around 20%. The last question, the nuts and bolt question you had in terms of the restructuring. We -- as we have communicated, we will absorb these costs within our profit levels. Therefore, we will certainly disclose what the costs are but it will be within the communicated results. So we're not going to an underlying or a core profitability. You can expect that we continue to result -- the results as they are.
Jon Cox: That's right. That's very welcome. So just to push a little bit on free cash flow. So you think there will be progress in free cash flow again this year? And then just -- sorry but back to this core equity ratio, you're saying it will be towards 30%, you think, in 2026. Would you still pay a dividend if your equity ratio is not at 30%?
Martin Huber: So in terms of the free cash flow, I think you can expect largely similar levels as we had this year. In terms of the core equity ratio, when you look at how we have progressed over the years, '23, '24 and '25, it is an improvement every year by around 5 to 6 percentage points. So that's why I'm saying, at the end of -- and this is almost like clockwork style. So you look at this and it's step-by-step core equity has increased by 5% to 6% year after year. So you can expect that at the end of this year, we will be closer to 30% than to 25%. In that sense, the Board will come forward in the course of this year on how our capital allocation policy will look like.
Operator: There are no more questions in the queue. Now I will hand back over to Urs Jordi for the closing remarks. Please go ahead, sir.
Urs Jordi: Thank you for joining the call this morning. We will have the opportunity to talk today or tomorrow. I wish you a good day. Thank you. Goodbye.